Operator: Welcome to the Atlantica Yield Second Quarter 2017 Financial Results Conference Call. Atlantica Yield is a total return company that owns a diversified portfolio of contracted renewable energy, power generation, electric transmission, and water assets in North and South America and certain markets in EMEA. Just a reminder that this call is being webcasted live on the Internet and the replay of this call will be available at the Atlantica Yield corporate Web site. Joining us for today’s conference call is Atlantica Yield’s CEO, Santiago Seage; and CFO, Francisco Martinez-Davis. As usual, at the end of the conference call, we will open the lines for the Q&A session. I will now pass you over to Mr. Seage. Please sir, go ahead.
Santiago Seage: Thank you very much. Good afternoon. Thank you all for joining us today for our second quarter 2017 earnings conference call. Please proceed to Slide 3, where we will start the presentation with the key messages. In first place, we are very pleased to announce excellent operating results for another quarter. Our revenues for the second quarter reached $285 million, an increase of 9% versus the same quarter last year. And a further adjusted EBITDA including unconsolidated affiliates that reached $228 million, representing a 10% increase compared to the second quarter of 2016. The performance of our portfolio was largely in line or better in some cases than expectations. CAFD generation was excellent reaching $95 million in the first half of the year. In addition, in the first quarter, as you know, we received certain debt on equity instruments from our sponsor Abengoa resulting from the restructuring of our ACBH investment. In this second quarter, we have sold a large portion of both instruments generating until June 30, an additional $25 million of cash. Additionally, we have signed the acquisition of a small dollarized hydro plant in Peru for an equity value of $9 million. Finally, our Board of Directors has declared a quarterly distribution of $0.26 per share, which is 4% higher than the prior quarter. If we now turn to Slide 6, we will review our main financial results. Revenues for the second quarter reached $285 million, a 9% increase over the previous year. This increase was mainly driven by the outstanding results in our solar assets in Spain and in the U.S. Further Adjusted EBITDA, including unconsolidated affiliates, reached close to $228 million in the quarter, a 10% increase versus the same quarter in the previous year. CAFD in the second quarter reached close to $35 million in line with the same period last year. If we now look at the six month period, year-to-date operating results have also been very positive, with revenue increasing by 3% reaching $483 million and further adjusted EBITDA increasing by 8% up to $393 million. CAFD for the two quarters, for the first half of the year, reached $95 million. With these results up to June, we are on track to meet our guidance for the year 2017. Let’s move on to Page 7. In North America, EBITDA for the first six months of the year increased by 3%, thanks to our very strong performance of our solar plants in Arizona and California. In fact, for our solar assets in the U.S., the second quarter of 2017 has been the best quarter since they started operations, reaching a capacity factor in excess of 40%. In South America, revenues remained fairly stable and further adjusted EBITDA increased mainly due to the compensation received in the first quarter regarding our ACBH investment. In the EMEA region, revenues and EBITDA increased, thanks to the good performance of the assets in Spain. In this second quarter, solar radiation was above expectation and the assets performed very well. The increase was partially offset by a lower generation in our solar asset in South Africa, which as you know experienced technical problems in the first quarter of 2017 and that has been fixed already. Looking at our results by business sector, we can see the same effects. In renewable energy, revenue had a solid increase of 6%, thanks to the good performance of the solar assets in the U.S. and Spain. In conventional power, EBITDA was very similar to last year. When we look at transmission lines, revenues remained stable and again further adjusted EBITDA had the impact of the compensation received in Q1. Finally, water had similar performance to last year. Overall, all our segments and geographies have delivered excellent results in the quarter. Turning to Slide 8, we will cover the operational performance of the assets. In first place, within renewable energy, production reached 1,560 gigawatt hours in the first half of the year, a 5% increase compared to the same period in 2016. In the U.S., as I mentioned before, we had the best quarter ever. In Spain, we also have the best quarter ever with very good production, thanks in part to very good solar radiation. Our fleet of mature assets in Spain has again demonstrated very good performance. Finally, our wind assets continue to perform in line with the same period of the previous year. Moving on to conventional power, ACT, our cogeneration plant in Mexico has continued to operate close to maximum levels, reaching an availability of 99.8% with very good levels of production. In transmission, availability decreased slightly versus last year because of the heavy rains Peru experienced in the first quarter of 2017. Finally, the water plants have exceeded forecasted availability levels. I will now turn the call over to Francisco, who is going to take us through the financial section.
Francisco Martinez-Davis: Thank you very much, Santiago, and good afternoon, everyone. Please turn now to Slide 9 to discuss our liquidity position. As of June 30, 2017, our corporate cash reached 178.9 million, an increase of 56.7 million from the beginning of the year. Cash at project level companies amounted to 435.4 million of which 238.5 million was restricted and the remaining 196.9 million non-restricted. Non-restricted cash at the project level corresponds to cash at the project level that is required to run our business or repay our project debt or wait until the next distribution window. Restricted cash corresponds mainly into debt service reserve accounts required by project financing at the asset level. Short-term financial investments are also restricted accounts. With this, total liquidity at June 30, 2017 reached 691.9 million. Moving on to the next slide, you can see the cash flow for the first six months of 2017. Operating cash flow for the quarter reached 104.3 million, which is slightly below the same period of last year. Further adjusted EBITDA, as we mentioned previously, increased by 8% represented almost 393 million in the first half of 2017. Interest and income tax paid correspond almost exclusively to interest paid and it’s in line with last year. Variations in working capital have been a negative 79.9 million. Working capital is subject to seasonality, caused by the seasonality in production and invoicing in our solar assets, thus this negative variation was expected. It was more negative than last year primarily as a result of higher revenues in the second quarter. Non-monetary items and others correspond mainly to non-cash EBITDA related to grants in our U.S. solar assets and remain in line with last year. Investing cash flow for the first six months of 2017 correspond primarily to the 24.7 million of the net proceeds from the sale of the financial instruments we received from Abengoa. Finally, we used 123.7 million in financing activities, which corresponds primarily to schedule project debt repayments as well as to dividends paid. Looking at Slide 11, we showed a reconciliation from further adjusted EBITDA included unconsolidated affiliates to CAFD. Starting from further adjusted EBITDA including unconsolidated affiliates of 393 million in the period, deducted interest paid, debt amortization, movement in restricted cash accounts and other effects, we arrived with cash generated in the first half of the year of 55.9 million, significantly higher than in 2016. Then as we define CAFD as cash distributions for projects to the holding level, which depends on specific windows, we need to add changes in the non-restricted cash at the project level to reach CAFD. With this, in the six month period, our CAFD reached 95.5 million, a 64% increase compared to the first half of 2016. In addition, as explained before, during the second quarter we have sold part of the instruments that we received from Abengoa. In particular, we have already monetized 24.7 million, which added to the CAFD figure, drives a total amount to 120 million. We believe this is an excellent result for the first half of the year. On Slide 12, we present our debt position at the corporate level and at the project level. We closed the second quarter of 2017 with net corporate debt of 505.7 million while the position as of December '16 was 546 million. Our corporate debt, corporate ratio now stands at 2.3x CAFD, pre-corporate debt service well below our internal target of 3x. Our project debt at the end of June 2017 totaled approximately 5 billion. The variation versus December 2016 is mainly due to currency translation differences, which will be explained in the following slide. Turning now to Slide 13, you can see the consolidated net debt bridge. Our net debt position has increased slightly from December of 2016 to June 2017. We would like to clarify that the reason for this increase has been depreciation of the euro against the dollar, which artificially increases our consolidated net position when converted into U.S. dollars, although we have not issued any new debt other than the corporate refinancing we did at the beginning of the year. We closed the fourth quarter of 2016 with a net debt position of 5.4 billion. Inflow from our project operations in the six months period is 274 million. The main outflow during the period has been interest and income tax paid for approximately 170 million and the corporate dividends paid for 42 million. Translation differences arising from the conversion of our project in corporate debt in euros to U.S. dollars amounted to 204 million. Foreign exchange translation differences are just a result of converting assets and liabilities of euro denominated series to U.S. dollars in the consolidation process and this movement is just purely an accounting effect. Without considering the foreign exchange effect or net debt, we have been reduced by 64.3 million. These effects together with the monetization of Abengoa instruments as well as other smaller effects in our net debt position resulted in our net debt being 5.5 billion at the end of June, 2017. I will now turn the call back over to Santiago for the dividend and strategic update.
Santiago Seage: Thank you, Francisco. Moving to Slide 14, we announce a quarterly dividend of $0.26 per share. This represents an increase of 4% quarter-over-quarter. As we have discussed in previous quarters, our Board of Directors is maintaining a conservative dividend approach until we secure all the waivers required for an eventual reduction of the stake of Abengoa owns in us as of today. With this dividend increase, the Board wants to convey a positive outlook regarding the resolution of some of the last remaining waivers. And as previously discussed, we expect to continue increasing the distributions one we secure these last pending waivers. On Slide 15, we have signed an acquisition of a small asset, mini-hydro plant. We’ve contracted revenues in U.S. dollars in Peru. The investment will be around $9 million with an expected equity IRR of around 10%. This asset is in operation – has been in operation for several years already and the acquisition represents we believe an attractive opportunity for us to diversify into a new technology with limited risks. In fact, we believe that the asset meets the criteria we want for our portfolio in terms of long-term contracts denominated in dollars with a fixed price [indiscernible] to inflation and reliable off-takers with investment grade credit ratings. Even though it is a small asset, it generates geographical synergies with our existing assets in Peru. The operation and maintenance will be performed in-house and the current non-recourse financing at the project level gets amortized before the end of the PPA. Closing is subject to approval of the relevant authorities in Peru. As we said at the beginning of the year, we expected to work during this year, during 2017, on small accretive acquisitions and on setting the foundation to deliver a higher growth starting as soon as possible. With this, we conclude our presentation of the second quarter 2017 results, which we believe have been very encouraging and positive. Next week, our CFO and our Investor Relations team will be meeting investors in New York. Please contact them in case you are interested. Thank you very much for your attention, and now we will open the lines for a few questions. We don’t have much time today, but we will try to take a few questions if we have them. Operator, we are ready for Q&A.
Operator: Thank you very much. Ladies and gentlemen, the Q&A session starts now. [Operator Instructions]. The first question comes from Anthony Crowdell from Jefferies. Please go ahead.
Anthony Crowdell: Hi. Good afternoon. I just want to know if you can give us a status – I mean everyone’s been waiting for the waivers. We’re now in August. Just an update of what’s happening with that one waiver?
Santiago Seage: I guess you are referring to the Mexican waiver in ACT.
Anthony Crowdell: Yes.
Santiago Seage: As I mentioned before, the Board is increasing the dividend to make sure that everybody sees that we believe that the outlook regarding that waiver is positive, meaning that we believe that this quarter we should be able to get it. It doesn’t completely dependent on us obviously, as you know, but the outlook being cautious would be within this quarter again knowing that it doesn’t depend on us only.
Anthony Crowdell: So was there anything that changed your outlook on that you’re going to get it?
Santiago Seage: Yes. In general, we have been making reasonable progress so that’s why – I dare to say that we expected with the caveats I mentioned within the quarter.
Anthony Crowdell: Okay. Next if I move on; Abengoa still owns some shares in Atlantica. Any update on what they plan or timing of what they plan to do with that asset?
Santiago Seage: Yes. Abengoa has publicly said that they have launched a process to sell their stake in Atlantica and that process is ongoing. We cannot comment more than that because obviously the one selling the stake is Abengoa and not us. But that’s what Abengoa has said publicly.
Anthony Crowdell: Okay. And then if I just move on to the strategic objectives. You acquired that mini-hydro plant in Peru. Any other like thoughts or plan of acquiring anything larger, or you think 2017 is more of trying to get the waivers I guess secured?
Santiago Seage: So in the short term, our priority is the waivers and hopefully seeing Abengoa selling their stake to another shareholder or shareholders. And we will continue working on potential acquisitions if we find the opportunities that would be good enough. And as we mentioned, for example, in the last quarter, our priority is to be able to build a growth pipeline, including the ROFO agreement we have today from our sponsor, but also new partnerships and acquisition opportunities that can help us to grow much more significantly in 2018 and beyond.
Anthony Crowdell: Great. Thank you for taking my questions.
Santiago Seage: Thank you.
Operator: Thank you very much. [Operator Instructions]. The next question comes from [indiscernible]. Please go ahead, sir.
Unidentified Analyst: Yes. Hello.
Operator: Go ahead please with your question.
Unidentified Analyst: Hi. This is David Armani [ph]. I would like to ask, do you guys – are you guys expressly confirming the dividend guidance, the payout ratio of 80% on the CAFD of 200 million to 250 million?
Santiago Seage: You’re asking, David, about the run rate CAFD?
Unidentified Analyst: Yes.
Santiago Seage: We will have at that point in time, yes, the numbers you mentioned are the numbers we shared at the beginning of this year that continue to be the most updated estimation regarding run rate CAFD and payout. 
Unidentified Analyst: Okay. Thanks. That’s all for me.
Santiago Seage: If we have no more questions, operator, we can leave it here.
Operator: Thank you very much. We have no more questions in today’s conference call. Ladies and gentlemen, this concludes today’s conference. Thank you all for attending.
Santiago Seage: Thank you.